Operator: Good morning, and welcome to the 2025 First Quarter Earnings Conference Call hosted by BNY. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note this conference call and webcast will be recorded and will consist of copyrighted material. You may not record or rebroadcast these materials without BNY's consent. I will now turn the call over to Marius Merz, BNY Head of Investor Relations. Please go ahead.
Marius Merz: Thank you, operator. Good morning, everyone, and welcome to our first quarter earnings call. I'm joined by Robin Vince, our President and Chief Executive Officer; and Dermot McDonogh, our Chief Financial Officer. As always, we will reference our quarterly update presentation, which can be found on the Investor Relations page of our website at bny.com. I'll note that our remarks will contain forward-looking statements and non-GAAP measures. Actual results may differ materially from those projected in the forward-looking statements. Information about these statements and non-GAAP measures is available in the earnings press release, financial supplement and quarterly update presentation, all of which can be found on the Investor Relations page of our website. Forward-looking statements made on this call speak only as of today, April 11, 2025, and will not be updated. With that, I will turn it over to Robin.
Robin Vince: Thanks, Marius. Good morning, everyone. Thank you for joining us. I'd like to start with a few broader comments before Dermot takes you through the financial results for the quarter. Reflecting on the operating environment, while there were clear signs of optimism at the beginning of the year, we have now seen a rapid and significant reversal of sentiment, driven by uncertainty about trade and fiscal policies, which added to existing tail risks, including a variety of geopolitical tensions and conflicts. Last week's tariff announcements were clearly part of a broader strategy and an effort to reset trade relations between the US and the rest of the world. This is an attempt at a very fundamental change. And while last week's announcements provided an initial baseline, we should expect that negotiations will take time, and it is likely that a clear final picture won't be reached for a while, a view reemphasized by Wednesday's news on a three-month pause and the market volatility we saw again yesterday. The read-through of this uncertainty into both capital markets and the real economy creates elevated risks in the near and medium term. In times like this, being positioned conservatively with balance sheet strength and operational resilience allows us to remain focused on serving our clients and continuing to execute on the ongoing transformation of BNY into a more platforms-oriented company. Turning to the quarter and referring to Page 2 of the quarterly update presentation. We delivered a very solid financial performance in the first quarter. Earnings per share of $1.58 were up 26% year-over-year on a reported basis and up 22% excluding notable items. Total revenue of $4.8 billion was up 6% year-over-year. Expenses around the company remained well controlled, up 2% year-over-year. Taken together, we delivered another quarter of meaningful positive operating leverage, 346 basis points on a reported basis and 261 basis points, excluding notable items. Our pretax margin improved to 32%, and our return on tangible common equity improved to 24%. As I've noted before, BNY plays a central role in global markets, powering our clients with platforms across custody, security settlement, collateral payments, trading, wealth investments and more in over 100 markets around the world. Notwithstanding the current environment, we continue to see a meaningful opportunity from our work to better align ourselves as an integrated financial services platforms company. Our transformation strategy includes both a new commercial coverage approach and our strategic platforms operating model, which together are designed to enhance the client experience and enable greater agility. The execution of this strategy is a significant exercise in change management, which requires hard work and takes time, but our teams around the world have embraced the opportunity, and we are making progress. This past quarter marked the first anniversary since we started the phased transition into our new operating model. And just one year in, we have more than half of BNY working in this new way. Already, we are starting to see how this transformation can drive top line growth with greater scalability. For instance, over the past year, our trade finance team is processing trade loans 60% faster. Our enterprise onboarding team is also working faster while seeing a more than 30% increase in onboarding volume. And our payments team has tripled the number of currencies we offer our bank clients to support consumer activity. Complementing our platform work and building on the momentum with which we entered the year, our new commercial coverage model is proving increasingly effective in enabling more integrated client solutions from across the entire company. The first three months of the year represented our strongest sales quarter on record. The number of clients who bought from three or more lines of business has increased by 40% over the past two years, and we continue to see outsized sales growth with those multiline of business clients. In just one example, a large privately held multinational company where BNY has acted as custodian for the pension plan and corporate cash portfolio, where we provide corporate trust and debt capital market services and we provide wealth management to the company's senior executives, we recently expanded our relationship to also include supporting the company's collateral needs and managing short-term cash through our LiquidityDirect platform. As I've said before, effectively cross-selling the breadth of our platforms in this way and at scale represents the single most compelling growth opportunity for our company. As an institution with a long history of innovation, we have not forgotten that delivering new solutions is another important way for us to be more for our clients and to drive top line growth. We recently welcomed Carolyn Weinberg to the company as a member of the Executive Committee. She is now our Chief Product and Innovation Officer. Many people across our organization are focused on innovating new capabilities, instant payments, digital assets, wealth tech, private markets, collateral, liquidity, all examples of domains where we are innovating. The addition of Carolyn in this new role will increase our leadership bandwidth to drive innovative new commercial opportunities and find new ways to leverage our platforms and data for client solutions. While on the topic of innovation, I also want to take a moment to specifically call out the opportunity we see from AI at BNY. We've been taking a platform-based approach to AI capabilities, building and deploying solutions at scale with resilient, responsible guardrails throughout. We believe that our AI platform is going to be an important advantage for us as a large language model agnostic design, leveraging frontier models from multiple leading providers. To that end, in the first quarter, we announced a multiyear agreement with OpenAI, giving BNY access to cutting-edge tools and working with OpenAI to advance AI use cases in financial services. Over 80% of our employees have completed the prerequisite training to access Eliza, our AI platform, and more than 8,000 of them are already experimenting with personal AI agents honing the skills they need to use AI effectively. To date, we have deployed more than 40 AI solutions into production with a significant additional number at various stages of building and testing. Collectively, we expect these to drive productivity gains, improved risk management and to provide meaningful leverage to our people in the future. We strongly believe that by empowering our people with AI to do what we do better every day, we will harness great benefits over the coming years. Before I hand the call over to Dermot, I want to close where I began. While the outlook for the operating environment has become more uncertain, we are prepared for a wide range of macroeconomic and market scenarios. Our ongoing work to operate BNY as a more platforms-oriented company, combined with our highly capitalized, liquid and lower credit risk balance sheet positions us to manage dynamically and act as a source of strength as we support our clients in navigating the current environment. I'd like to thank our people around the world for bringing intensity and excellence to drive us forward as one BNY. And with that, over to you, Dermot.
Dermot McDonogh: Thank you, Robin, and good morning, everyone. I'm starting with our consolidated financial results for the quarter on Page 3 of the presentation. Total revenue of $4.8 billion was up 6% year-over-year. And excluding notable items, total revenue was up 5%. Fee revenue was up 3%. That included 6% growth in investment services fees in our Securities Services, and Market and Wealth Services segments, driven by net new business and higher market values. Investment management and performance fees were down 5%, driven by the mix of AUM flows and an adjustment for certain rebates, partially offset by higher market values. While not on the page, I will note that firm-wide AUC/A of $53.1 trillion were up 9% year-over-year, reflecting client inflows, higher market values and net new business. And assets under management of $2 trillion were flat year-over-year as higher market values were offset by cumulative net outflows. Foreign exchange revenue was up 3% year-over-year, driven by higher spreads on the back of higher volatility. Investment and other revenue was $230 million, which included a $40 million disposal gain, a notable item in the quarter. Net interest income was up 11% year-over-year, driven by the reinvestment of maturing investment securities at higher yields, partially offset by changes in deposit mix. Provision for credit losses was $18 million in the quarter, reflecting reserve increases relating to commercial real estate exposure. Expenses of $3.3 billion were up 2% year-over-year, driven by higher investments and employee merit increases, partially offset by efficiency savings. Taken together, we reported earnings per share of $1.58 on both a reported and on an operating basis. Excluding the impact of notable items, earnings per share were up 22% year-over-year. Our pretax margin was 32%, and our return on tangible common equity was 24% in the quarter. Turning to capital and liquidity on Page 4. Our Tier 1 leverage ratio for the quarter was 6.2%. The sequential increase reflects capital generated through earnings, preferred stock issuance and improved accumulated other comprehensive income, partially offset by capital distributed through common stock repurchases and dividends. Our CET1 ratio at the end of the quarter was 11.5%. The sequential increase reflects the before mentioned increase in capital, partially offset by higher risk-weighted assets. Over the course of the first quarter, we returned approximately $1.1 billion of capital to our common shareholders, representing a 95% total payout ratio year-to-date. With regards to liquidity, the consolidated liquidity coverage ratio was 116% and the consolidated net stable funding ratio was 132%. Next, net interest income and balance sheet trends on Page 5. Net interest income of $1.2 billion was up 11% year-over-year and down 3% quarter-over-quarter. The sequential decrease reflects changes in balance sheet size and mix, partially offset by the continued reinvestment of maturing investment securities at higher yields. Average interest-earning assets decreased by 1% sequentially, including lower cash and reverse repo balances, partially offset by higher investment securities and loan balances. Average deposit balances also decreased by 1% sequentially, reflecting lower noninterest-bearing balances compared to the seasonally strong fourth quarter. Average interest-bearing deposit balances remained flat. Turning to our business segments, starting on Page 6. Securities Services reported total revenue of $2.3 billion, up 8% year-over-year. Total investment services fees were up 4% year-over-year. In Asset Servicing, investment services fees grew by 5%, reflecting higher market values and net new business. And in Issuer Services, investment services fees were up 2%, driven by net new business in Corporate Trust. In this segment, foreign exchange revenue was up 10% year-over-year, driven by higher spreads on the back of higher volatility. Investment and other revenue of $140 million in the quarter included the $40 million disposal gain that I mentioned earlier. Net interest income for the segment was up 8% year-over-year. Segment expenses of $1.6 billion were up 3% year-over-year, driven by higher investments, revenue-related expenses and employee merit increases, partially offset by efficiency savings. Securities Services reported pretax income of $708 million, up 20% year-over-year and a pretax margin of 31%. On to Market and Wealth Services on Page 7. In our Market and Wealth Services segment, we reported total revenue of $1.7 billion, up 11% year-over-year. Total investment services fees were up 8% year-over-year. In Pershing, investment services fees were up 4%, driven by higher market values and net new business. Net new assets were $11 billion in the quarter, and we started off the year with a meaningful renewal from Cambridge Investment Research, a long-time client and a growing independent firm. In Clearance and Collateral Management, investment services fees were up 10%, driven by broad-based growth in clearance volumes and collateral balances. And in Treasury Services, investment services fees were up 14%, driven by net new business. Net interest income for the segment overall was up 17% year-over-year. Segment expenses of $866 million were up 4% year-over-year, driven by higher investments and employee merit increases, partially offset by efficiency savings. Taken together, our Market and Wealth Services segment reported pretax income of $816 million, up 20% year-over-year and a pretax margin of 48%. Turning to Investment and Wealth Management on Page 8. Our Investment and Wealth Management segment reported total revenue of $779 million, down 8% year-over-year. Investment management fees were down 4% year-over-year, driven by the mix of AUM flows and the adjustment for certain rebates, partially offset by higher market values. Segment expenses of $714 million were down 4% year-over-year, driven by lower revenue-related expenses and efficiency savings, partially offset by higher investments. Investment and Wealth Management reported pretax income of $63 million, down 41% year-over-year and a pretax margin of 8%. As I described earlier, assets under management of $2 trillion were flat year-over-year. In the first quarter, we saw $18 billion of net outflows driven by index cash, equity and multi-asset strategies, partially offset by net inflows into fixed income and LDI strategies. Wealth Management client assets of $327 billion increased by 6% year-over-year, driven by higher market values and cumulative net inflows. Page 9 shows the results of the Other segment. I'll just note that in this segment, the sequential improvement in both revenue and expenses reflects the absence of net losses on sales of securities recorded in the fourth quarter as well as lower severance expense in the first quarter. I'll close with a few comments on the financial guidance for 2025 that we provided on our earnings call in January. While it is clear that the outlook for the operating environment has become more uncertain, our financial guidance and with it our determination to drive positive operating leverage in a wide range of scenarios remains unchanged. That means we continue to expect full year 2025 NII to be up mid-single-digit percentage points year-over-year. We continue to expect some fee revenue growth, of course, market dependent. And we continue to expect approximately 1% to 2% year-over-year growth in expenses, excluding notable items. We also continue to expect our effective tax rate for the full year 2025 to be in the 22% to 23% range. Considering our 20% tax rate in the first quarter, that means approximately 23% to 24% for each of the remaining three quarters of the year. And we continue to expect to return approximately 100% plus or minus of 2025 earnings over the course of the year. I'll repeat what I said in January. We continuously manage the pace of our buybacks, considering macroeconomic and interest rate environment, balance sheet growth and many other factors with a conservative bias. To wrap up, BNY posted another set of solid results in the first quarter, which demonstrate our consistent execution and delivery. On the back of our strong balance sheet, we are focused on supporting our clients in navigating the crosscurrents of this uncertain operating environment, all the while continuing to drive at unlocking the opportunity embedded in our company. With that, operator, can you please open the line for Q&A?
Operator: [Operator Instructions] First question will come from Ken Usdin with Autonomous Research.
Ken Usdin: Hey, Robin, Dermot, good morning. Another really good quarter in terms of the NII generation and good deposits. I know you guys have talked about how deposit stability is important to NII generation. I know it's early in the year, and we have all this uncertainty. Obviously, a better start than the run rate guide would imply. But just wondering just what do you think about just the world of deposits? Do you see any benefits in an uncertain world in terms of flows like to safety and just how we should think about some of the moving parts going forward? Thanks.
Dermot McDonogh: Thanks for the question. Look, Q1 as it relates to deposits was right in line with our expectations in terms of balance and mix shift. Q4 is seasonally a strong quarter for us as it relates to overall balances. So, we saw some of that moderate in Q1. Now with the elevated uncertainty and volatility in the markets over the last couple of weeks, we have seen a little pickup in deposits overall, but not in a meaningful way that we would have seen Two years ago in the regional bank crisis. So, we haven't yet seen that kind of port in the storm flight quality, but people know the strength of our balance sheet and the strength of our liquidity and capital. So we have seen a little bit of a tick up, but not in a way that we saw two years ago.
Ken Usdin: Okay. So we'll just see if that holds up and go from there. Just bigger picture about just the environment we're in. You have a lot of different businesses, and this is a type of environment where we see a lot of activity potential, I guess, and it was notable to see FX a little softer. But I was just wondering how do you guys see this world in terms of just businesses that either get more active or potentially less active based on how clients act and where you expect to see kind of money flows as you could think about how past cycles would be inferenced to this one? Thanks.
Robin Vince: Yeah, Ken, I'll take that one. So I think it's fair to see the phases of these types of events to sort of split into two. So there's one, which tends to be a little bit more frenzied activity in the marketplace. That's what we've been seeing over the course of the past 10 days or so in terms of activity. And so that does give rise to higher volumes. And we're seeing that across our platforms for sure. Now we're not a huge trading firm like some others out there, but we see it in terms of high counts on clearing volumes, in terms of activity on liquidity platforms, collateral activity, all the places where you'd expect it to be where we're really capturing the fact that market volumes are up. And to Dermot's point earlier on about liquidity, the reason why we probably haven't seen a big flight into us at this point is because a lot of the activity has been de-levering by people who've been raising cash to pay back lines, not raising cash just to have more dry powder on the sidelines. It hasn't yet been as much long-only liquidation, which tends to raise cash and that cash often ends up on our balance sheet. So it's sort of a little bit of a phasing thing. And then what can happen, and we'll have to see if that does happen. But as things calm down, at some point, it causes CEOs and leadership teams to reflect on how do they want to think about the strategic consequences for their business. And that's where our rentable scale and our platforms and the fact that we have all of these broad capabilities built on this sort of rock-solid foundation, that's what allows us to then capture potential follow-on opportunities where people say, you know what, there are things I used to do for myself that I'd now rather someone like BNY does for me using their platforms. And so that's how I think about the world right now.
Dermot McDonogh: And, Ken, just to clarify, you mentioned softness in FX is up 3% year-over-year. We're kind of -- the numbers we present there are the firm-wide numbers. When you kind of go underneath the hood on that and talk specifically about our markets business, that was a solid year-over-year uptick. Whereas on the other side, our corporate treasury department are doing FX placements and the other side of that is reflected in NII. So you're seeing a firm-wide view there as opposed to a specific market view and the market view for us year-over-year was solid.
Ken Usdin: Got it. Thank you.
Operator: And the next question will come from Alex Blostein with Goldman Sachs.
Alex Blostein: Hey, good morning. Thank you for the question as well. Maybe starting with a bit of a strategic question also, just kind of thinking about the position of the bank, obviously, very strong capital base, lots of liquidity at times of uncertainty and dislocation, there might be some interesting inorganic opportunities that may come up time and again. How are you thinking about that? Maybe it's too early, but just want to get your sense for appetite for M&A if something compelling comes along and if there are areas of particular interest where inorganic growth might make sense?
Robin Vince: Yeah. Thanks, Alex. Look, we're carefully looking at the opportunities. That's not a spot moment in time thing. It's just a sort of the rhythm as this management team has been driving through things over the course of the past 2.5 years. We think we've got a lot of things under control in terms of running the company better. You can see us driving now on the sales side. You can see us driving the execution platforms. You can see the innovation. And so we're always going to be out there thinking about what could be additive to our platform. We just think it's the responsible thing to do for shareholders. Now, we're going to -- what hasn't changed is maintaining great discipline. In an acquisition, we need to check all of the boxes of like clear alignment with our priorities, strong cultural fit. And I underline that because that is important to us and attractive financial returns, obviously. But you're right, times like this can present opportunities, and we'll be thoughtful about it. And I feel that we've practiced some of this with our Archer acquisition. That wasn't huge. But nonetheless, it was a sort of a small to medium-sized thing. It was a capabilities buy, but we're going through all of the training processes internally to understand how to look at and then purchase and then integrate something like that in a first-class way. And then the final thing I'll say is platform's operating model is quite additive to our capability over time to be able to, I think, be a better integrator because it creates the roadmap for us internally on how to take things and plug them in better.
Alex Blostein: Got you. Thanks. And then my follow-up is actually double-clicking into your earlier response to Ken's question around deposits. So up a little, not a ton so far in April. Can you comment also on the mix between interest-bearing and noninterest-bearing in April? And then ultimately, as you sort of think about a more normalized percentage of noninterest-bearing deposits, you guys are at 17%, I think now, even pre-COVID, so kind of before the spike in industry-wide liquidity, you guys were running north of 20%. How do you think about that sort of run rate mix going forward in more sort of uncertain environment? And if, in fact, you enter in a recession, what would that likely look like?
Dermot McDonogh: So I guess there were a lot of questions in that follow-up question, Alex. But to think about the NII for a second and the reconfirmation of the guide of 5%, which we feel pretty good about. I think it goes back to something that we discussed on previous calls, which is that very, very strong joined-up partnership between the CIO, the Treasurer and our deposit desk. And a lot of the work that drives our confidence around NII for this year are the actions that we took last summer over after Jackson Hole, where we kind of immunized the firm for 2025 NII. So a lot of work on the asset side. In terms of NIBs, as it relates to like as rates have trended higher, you would expect a reasonable amount of cash sorting to go on and people optimize for yield. We don't lead with deposits. Clients come to us to do other activities in the firm. And with that comes deposits, which can then turn into operational deposits. So in terms of the overall guide of like the [$281 billion] (ph) number, which we have seen tick up a little bit this quarter, and it is a seasonal business. Q4 is our strongest quarter for deposits typically, then Q1 is a little bit less than that. Q3 is our seasonal low. So there's nothing that we see kind of changing our view of the overall deposit mix for the balance of the year, which kind of gives us a lot of confidence around the guide that we gave you.
Alex Blostein: Great. Thank you, guys.
Operator: And our next question will come from Mike Mayo with Wells Fargo Securities.
Mike Mayo: Hey. I guess my first question is no good deed goes unpunished. So I do note your revenues were up 5% year-over-year and your headcount is down 2%. But -- so you raised the bar for yourself, but did note that the non-comp expenses are growing mid-single-digits year-over-year. I'm wondering how much that might continue and also the impact on revenues from the decline of noninterest-bearing deposits. Is that seasonal? Or is that something that's just a result of the macro environment? Thanks.
Dermot McDonogh: So, look, Mike, I think our ability to deliver positive operating leverage through the cycle is the North Star. And I think this is the fifth quarter that we've delivered consistent positive operating leverage. And hopefully, you are beginning to give us credit for being a financially disciplined, well-run company where we have got our expenses under control over the last couple of years, while at the same time, making investments in the strategies that are powering our top line growth and our efficiency growth. And so you're beginning to see those investments paying off. And I'm pleased that you highlighted the headcount number, which just generally means that we're able to do more with less in a digitally empowered way. And as Robin mentioned in his prepared remarks, we still haven't really unlocked the power of AI. So, when you think about where AI is going to be on our platform, as a financial platform company, where you see 20% of the world's investable assets flowing through our pipes, when we kind of get the AI strategy integrated into the strategy of the firm, we see a lot of dividends coming in that.
Mike Mayo: And then the noninterest-bearing deposit question, which might not be answerable, but just any thoughts there?
Dermot McDonogh: So, look, noninterest-bearing deposits, I think, are roughly in line with where we don't really expect them to go meaningfully higher or meaningfully lower from where they are now, which reinforces our guide. Like -- so NII is made up of what we've done on the asset side and what we think the forecast is going to be in terms of the mix and the overall level of the deposits. At the end of the year, we ran about 35 different scenarios. We did the same thing at Q1. We feel we've kind of cut the tails off the risk of what we believe the reasonable outcome of NII is going to be. And to give you a little bit of an indication like up down -- if the Fed were to cut rates by 50 basis points tomorrow, it wouldn't really impact how we think about NII for the balance of the year.
Mike Mayo: That's great. And my second question is for Robin. I saw you on CNBC and you talked about the hard data is good, but the soft data is bad, and they'll converge one way or another. I guess it's unanswerable also, but how long can this go on before things tip, like the hard data goes to soft data, soft data goes back to hard data. Do we have one month as a country and economy, one month, three months, six months, 12 months? Kind of what's your sense there? And what is the risk of being an international company and being a services company and potential retaliation there? I don't know how you think or frame that, but I'll take any thoughts you have. Thanks.
Robin Vince: Sure. I love that you ask unanswerable questions. But nonetheless, I'll give them both a whirl. Okay. So first of all, yeah, this point about -- and we saw it again today with the confidence taking a little bit of another beating in the survey data that was released this morning. It is. It's going down, and it's not surprising because if you're a CEO, you've got an uncertain environment potentially out over the horizon. It doesn't help you thinking about longer-term commitments, including building factories, including making commitments to sort of new initiatives or whatever the case may be. And if you're a consumer, the fear of our price is going to go up, what's it going to mean? Obviously, there's also a jobs angle on all of this as well. Could the economy tip into a recession? Those are all legit questions that a consumer would have, and that's going to be a little bit of a dampener of confidence. So I think there are plenty of reasons to think that, that will continue to be low. And my point when I talked about this before was that the two things at some point just kind of have to converge. And the longer that it goes on, the greater the probability that the facts converge down to the sentiment as opposed to if for some reason, we suddenly had clarity and we suddenly had a sense of confidence being able to come back, then it would converge back up to the facts and we'd be in a better space. But I think with a 90-day pause on tariffs and then probably a fairly long tail on full emergence of a clear picture, I think you have to be a little bit pessimistic here about how the economy is going to evolve over the course of the next six to nine months. I'd love to be wrong on that one. But I think as every day goes by, let's call it, this trade has negative carry to be able to hold. So we'll see. On the second question that you asked internationally, look, we are a global firm. 40% of our revenues come from outside of the US. But we're also a firm that provides really critical services to our clients. And so clients always have choices, and we have to earn their business every single day with how we behave and how our platforms operate. But it is this combination of having this reputation of being trusted, having this rock-solid underpinning, which, as you know, creates this port in a storm capability plus the fact that we do things that are really important. Clearing treasuries for most people is not an optional activity. Having access to a global collateral platform that lets your business operate more effectively, maintaining your access to the rails of the financial system, those are very, very core significant things. And so I'd like to think the combination of the trust, the reputation and then the day-to-day operation will cause our clients to continue to see value with us. But obviously, that's something that we'll have to see how it evolves.
Mike Mayo: Great. Thank you.
Operator: And moving on to Ebrahim Poonawala with Bank of America.
Ebrahim Poonawala: Hey, good morning. I guess maybe, Robin, just to that last point, Dermot and Robin, you mentioned the clearing of treasuries. You have a very deep sort of understanding of the market infrastructure. There's obviously concerns around the treasury market, what's happening, whether the Fed needs to intervene. Just give us a sort of a preview into what you've seen over the last few days. Are things working as smoothly as you would expect and what the risk looks like there or the need for a Fed intervention?
Robin Vince: Sure. So, look, I would separate the treasury market into a couple of different pieces. the rails of the system are working really well. We're seeing high volumes, yes, for sure, but everything is functioning really well and we have, as you point out, a very good view into that. There was a little bit of a tail in the three-year auction, of course, as was well publicized earlier in the week, but then we had a very solid 10-year auction and long bond auction as well. But what has evolved, and this is not unique to treasuries in any way. We've seen it in equities as well, is that the depth at the top of the order book has reduced. And so bid offer spreads have widened. The amount of risk that can be moved at the top of the book is much smaller. You have to go deeper into the book to be able to move blocks of risk. And that is true in the treasury market as it's been true in equity markets. And we've seen all the things that you'd normally expect. There's a little bit of dislocation with ETF NAVs versus the underliers. Those types of things are all indicative of people trying to move blocks of risk, and there's a bit of a consequence to it in terms of liquidity. The Fed will have to -- will make their own decisions about how they think about things. But if you look at history, what history suggests is that they intervene when they see markets that become fundamentally dysfunctional or dislocated where it's not possible to move risk and the markets really aren't functioning properly. And that's absolutely not what we have seen this week. Markets are working fine. We're just seeing situations where liquidity is reduced and therefore, people are having to pay up. And I think that's the distinction that I'd make for you.
Ebrahim Poonawala: That's helpful. And I guess a separate question, maybe not timely given all the macro concerns, but your Global Head of Digital Assets testified in front of Congress with regards to the stablecoin legislation. That's a huge priority for this administration. Just give us a sense of how we should think about what a stablecoin legislation, BNY had relationships with Circle, I think, going back a few years ago. What all of that means in terms of your ability to play in digital assets? Are there meaningful implications on revenue growth, deposits that we should be thinking about?
Robin Vince: We've all -- I think the short answer is we don't see it as a near-term big revenue item on the list, but we've always seen digital assets as a long-term play, whether it's the creation of new stuff or new packages of stuff. Look, we're in the business of looking after things in one of our platforms. That's our custody business, $53 trillion world number one. And so if there's going to be new stuff in the world, we want to be able to look after it. But then more broadly, the tokenization and leveraging the technology to find better ways of being able to move assets through the system more efficiently, less cost, less infrastructure required to do it. We actually think those will be a net plus net-net over time for us. And so our strategy has been pretty simple, which is we've been very engaged with all of the participants in the system. You mentioned Congress and the regulators, but it's true with the clients as well. We provide a lot of our traditional rails to these new players, and that's been a great way to build relationship. You mentioned one particular client that we do exactly that for. Now I think it's very positive that Congress is looking at this question because stablecoins are or some form of digital currency on chain is necessary in order to be able to make on-chain transactions efficient. Bitcoin is a more volatile asset, and so it doesn't lend itself as well to good DVP behaviors of a settlement system. So we see stablecoins being one way of being able to facilitate that. And so being able to do sort of transitions between the fiat currency world and the chain world seems to be a sensible place for us to play. It's great to see that legislation proceeding. But then behind it is also a market structure bill. And that would set really the rules of the road, the terms of engagement for how different participants can participate in digital assets. And I think the very helpful thing from this administration has been to sort of create more of this level playing field and say it's a new technology. We don't want anybody to be disadvantaged. We want everybody to be able to participate and let's do what the US is so good at, which is innovate and define global standards. And so that's where we sit today. I wouldn't have a huge revenue item in the 2025 P&L, but that isn't to undermine its promise over time.
Ebrahim Poonawala: Thank you.
Operator: And we'll take a question from David Smith with Truist Securities.
David Smith: Hi, good morning. A couple of questions on NII. First, it looks like NII from repo and Fed funds increased again this quarter. Do you see this sustaining? Is there like an expectation for a meaningful drop off? Just help us frame that. And then secondly, your deposit beta was really high, around 90% again this quarter. Obviously, it's a very fluid rate backdrop. But based on what you're seeing, when might this start to level off since I think last cycle, your beta was around 75% or 80% for the cumulative cycle?
Dermot McDonogh: So, thanks for the question. Look, on the repo side, part of NII, higher than expected. And we've invested quite heavily in that over the last couple of years, and we feel it's an important business for us as it relates to clients and delivering products to them. But it does -- it's quite small in the context of our overall NII. It's only about 5%. So I think the business held in nicely. It's doing well. The balances are higher and spreads are a little bit tighter. So there's kind of a couple of puts and takes there. But in the context of our overall NII, it's quite small. In terms of the beta question, look, this is a question, I guess, that's come up on a lot of calls over the last several quarters in that we deal with a sophisticated client base, and we kind of pass on the rates as we get them. And so our kind of bases have always been quite high, like in the low to mid-80s, and that's kind of where we see the book. And so the marginal base is around 100%. And if rates were to go down, we'd see the betas to perform in line with the way on the way up. So that's kind of roughly how we see it.
David Smith: Thank you. And then just in terms of how the macro environment is affecting client activity, do you find clients are less willing to move around from one provider to another in a turbulent environment like this? Or the custodians with differentiated capabilities become more attractive to a large enough extent that people will still consider moving where they hold funds?
Robin Vince: I think it depends on the platform. And this is really where the breadth of our platforms is a real advantage for us, David, because we have these platforms that are higher frequency in terms of volumes where things like collateral management, things like treasury clearing, things like global clearing, $1.6 trillion ecosystem in terms of LiquidityDirect. And so there's absolutely the ability to move around there, but we just have these great platforms and people gravitate to us at these times given what we have. And then there are the longer burn opportunities where people are reflecting on how to run their businesses in the best possible way. And I don't think at this point, it's the environment where you kick off something super big that was going to take a lot of distraction of leadership time. But most of the work and most of the platforms that we provide, they don't really fit into that category. And so I don't see a reason why we're not sort of business as usual in terms of the environment today, but we have to see how it plays out. If we're going to have up 6%, 7%, 8% in the stock market every day, then obviously, that creates a chilling effect, almost and an exhaustion effect almost by definition. But I don't think we're at this point where for our businesses, the uncertainty really cascades through into client choices today.
Dermot McDonogh: The point I would add on to it is at some level, it does create opportunity for us as well as we make our platforms better and as clients look to optimize for their individual environments it's going to create opportunities for us to help our clients do run things better for themselves. So, like, I would feel quite optimistic our ability to serve clients in a better way as a result of our transformation that's going on. And also, a significant part of our revenue is recurring. Once we have clients on our platform, they tend to stick with us. And at times like this, that is a tremendous thing to have.
David Smith: Thank you.
Operator: And we'll take a question from Brian Bedell with Deutsche Bank.
Brian Bedell: Hey, good morning, folks.
Robin Vince: Good morning.
Brian Bedell: Good morning. Start off with just the platform question, going back to Robin, I think what you talked about in your earlier remarks, over half of the BNY now in the platform model. And then you talked about the cost, the efficiencies and you sited some examples. The question would be is, now that you've got half of the firm on the model, are you -- are the efficiencies and the cross-sell and if I can throw AI in there as well, are these contributions exceeding your expectations so far? And if that is so, would that either translate into lower expense growth? Or would you tend to channel those savings into reinvestment in growth initiatives?
Robin Vince: Well, Brian, I'm just going to take you back to some comments that I made a few quarters ago, which is just to remind of the fact that we've been simultaneously investing in the short, medium and long term. We did this thing, it's now in the past, but Project Catalyst, which was designed to be able to have this 1,500 ideas that we're going to be able to save us money on a run rate basis. 2025 is actually the first year where we have the full benefit of Catalyst in the numbers. So we're still benefiting from some of those short-term actions that we took a little while back. And then simultaneously, we've been investing more, and Dermot talked about this in answer to Mike's question earlier on. Actually, the gross numbers in terms of the savings and the investments, both of them are meaningfully higher than they've been in past years. And sometimes it's a little hard to see that under the hood. But this investment into platforms operating model, it's a means to an end. We think that actually people working in this model provides some immediate benefits, the agility and the ways of organizing teams create some efficiency and some more sort of pointed ability to get things done quicker with a little bit less bureaucracy and sort of nonsense getting in the way. But it's really a means to an end because the objective of operating in the platforms has always been we will be able to do more business, and we'll be able to do it better and quicker, risk management benefits, efficiency benefits. It's just got a lot of things that really suit us. And for that, you don't really see those benefits until you've got a platform operating for probably at least 6 to 12 months to start to see that. And we, in fact, had a great example ourselves internally where one of our earliest entrants into the platform's operating model is starting now to rethink and reimagine how the infrastructure and systems underlying their platform operate, how do those processes work across the company. And it took a year for them to be in the model before they've really been able to set out their store. So that's a long way of saying, I think the benefits of this are very much to come. They're more of a '26 and a '27 story, although there's some benefit in '25 and probably through into '28. And then we see AI as the longer-term thing to layer on to that, not too much benefit in '25, but we've clearly started, but that layers in, I would say, '26, '27, '28, '29 through the end of the decade. And so it's this choreography that we've laid out as a leadership team to the different things that we're doing and how they will benefit us at different periods of time, but we got going on all of them early, and that was the key.
Dermot McDonogh: Like from the CFO lens, the point -- I'll give you a little bit of a history lesson. If you kind of go 2022, expenses were up 8%. 2023, they were 2.7%. 2024, flat to slightly up due to the revenue growth outperforming expectations. And this year, we're guiding 1% to 2%. And all of the projects that Robin referred to are feeding into those numbers. They're not something distinct and separate. So all of the things that we're doing gives us a lot of confidence to be able to give you good guidance. And ultimately, the journey never ends because we're becoming a much better run company, the flywheel of initiatives is just going to outpace the efficiency, and that's going to lead to more growth opportunities.
Brian Bedell: That's great color. And I think you wanted to convert the entire company by the end of the year on the platforms model. Is that correct? Or is that [indiscernible]
Dermot McDonogh: Yeah. So I would think like by this time next year, when we do this call, all things kind of going according to plan, we would say the firm is fully operating in the new way of working. But I would double down on what Robin said that we can see real tangible benefits from the people who went first versus the people who are just starting now. And it's a mindset change, which is really people showing up in a different way in the firm, and they're much happier in the new way of working. So culturally, it's very powerful.
Brian Bedell: That’s great color. Thank you.
Operator: And we'll take a question from Steven Chubak with Wolfe Research.
Steven Chubak: Hi, good morning, and thanks for taking my questions.
Robin Vince: Good morning, Steve.
Steven Chubak: Hope you guys are well. So I have a couple of questions on the Pershing business. There was some press coverage noting recent changes to the sharing of cash economics with some of your RIA and IBD clients. I was hoping you could just speak to what informed the pricing changes, the feedback you've gotten from the clients thus far and how we should think about any potential benefit to NII as you retain more of those spread economics?
Dermot McDonogh: So it's something that we're -- look, it's something that we're continuing to do. We've opened up our platform. We want to offer our clients a lot of choice at competitive rates. We've not really made any significant changes. And we kind of keep it under review because the backdrop of the environment is so fluid. But in terms of the overall context of the NII and how it feeds into the 5% guide, it's de minimis.
Steven Chubak: That's helpful context there, Dermot. And for my follow-up, just on the NNA outlook in Pershing, the flow rate, it was a touch softer versus some of the recent, call it, mid-single-digit or better NNA flows that you've been seeing in recent quarters. I recognize there's a lot of volatility and uncertainty in the current backdrop. But I was hoping you could just speak to what drove the moderation in flows, whether you expect that to continue amid the recent volatility? And if you could also clarify the timing and impact of the pending Atria departure just to make sure we have all the moving pieces accounted for.
Dermot McDonogh: So as it relates to the Pershing, so on the positive side, a lot of volume on the platform. Robin talked to different platforms and the uptick in volume over the last couple of weeks. So we see a lot of volume in terms of transaction activity flowing through the Pershing pipes, which is good for us. As it relates to NNA growth and opportunity, it's -- like, it's a choppy environment. I would put it down to timing. We had some decent-sized mandates that could have signed in Q1 slipped to Q2, and that's like just more about the timing of when stuff comes on. So from quarter-to-quarter, I expect we'll see a little bit more choppiness of that. But on the more positive side, I would say we continue to see kind of strong client uptake in the pipeline for Wove. We gave a guide in January, which was for 2025, roughly $60 million to $70 million. We still feel very good about that guide. We've now got 52 clients on the platform. We signed 22 contracts in Q1. And so now we're kind of building up ahead of steam in terms of client migrations onto the platform. And so that -- the clients' excitement about that product continues to kind of give us confidence about saying mid-single-digits through the cycle as it relates to M&A.
Steven Chubak: That’s great. And the Atria impact?
Dermot McDonogh: We don't necessarily disclose individual transactions, but coming to a store near you this -- either next quarter or the quarter after.
Steven Chubak: Understood. Well, thank so much for taking my questions.
Operator: And we'll take a question from Betsy Graseck with Morgan Stanley.
Betsy Graseck: Hi, good morning.
Robin Vince: Good morning, Betsy.
Betsy Graseck: A couple of questions. One, just on the Treasury Direct Express program that's moving over to your platform. I just want to confirm that already started and wanted to get a sense as to anything you can share on how we should expect that's going to roll through and impact, if at all, visible P&L?
Dermot McDonogh: So, I don't think -- Betsy, the P&L won't be visible in terms of size or lumpiness. We're very excited to have won the business. It was really to be honest with you, that was a real strength of the platform operating model in terms of our ability to bring the firm together to win that mandate. So that was a real kind of nice proof point for us that we're on the right track as it relates to the treasury service model. We expect to ramp up in the latter part of this year. But in terms of moving the needle for the firm's revenues, it's just another happy clients wanting to do business with BNY and it's going to come into the run rate latter part of this year. So it will be in the full year numbers next year.
Betsy Graseck: Okay. And then as I'm looking at the deposit in the SKU NIB IB, I thought in the past NIB were thinking that might move down towards $44 billion. And is that the case still or not? And if that changed, why?
Dermot McDonogh: So we were a little bit higher than that. And so our current we kind of believe that that's -- it's going to roughly hang into the ZIP code that it's currently in, may moderate a little bit from here due to some cash sorting. But we don't expect any meaningful change on it, and that kind of feeds the 5% guide.
Betsy Graseck: Okay. And then you mentioned if the Fed cuts 50 bps tomorrow, there's no NII impact. What should we be keeping an eye out for that would drive an NII impact? Is it flattening of the curve, sharp flattening? Anything or you're good in any situation?
Dermot McDonogh: I think under a wide range of situations for '25, with the expect -- with the -- on the rate curve, we're good. Obviously, if something happens materially with levels of balances and mix shift, that would impact it. But we've done a lot of analysis. And so we feel reasonably good under a wide range of scenarios. The NII is okay for sure.
Robin Vince: And that was a deliberate strategy, Betsy, because we really wanted to take the risk of 2025 sort of out of things, and that was work that the team did last year because NII is obviously a very valuable contribution to our firm, and we appreciate it as part of our overall operating leverage. But as Dermot said earlier on, positive operating leverage is the North Star, and we have other levers around, of course, fees. Now market is a variable. But it's -- remember, our fees aren't only about market because they're also about volumes activity levels. Wove is a software sale as well. And then we have the all-important lever of expenses, which is, as Dermot and I both said, we've been spending a considerable amount of money on investments. We see nothing in the environment today to suggest that we should stop that. But given the fact that the total gross of savings and investments is bigger and is part of the 1% to 2% guide that Dermot gave you, it follows from that, that we have choices underneath that if we needed them. So positive operating leverage is the anchor. NII is, sure, great, but like kind of -- it's all about the other stuff.
Betsy Graseck: Thank you.
Operator: And we'll take a question from Gerard Cassidy with RBC.
Gerard Cassidy: Good afternoon. Dermot, can you share with us your thoughts about -- you talked about the immunization that you guys did and Robin, you just touched on it last year following Jackson Hole for this year's NII. Would you consider doing something like that for 2026 as the year progresses? Or was that kind of a one and done kind of strategy?
Dermot McDonogh: No, absolutely, very much focused on '26. Active work. And so yes, it's -- we're always looking at the markets. We're always looking at how to optimize our balance sheet. The partnership between the -- we call it the tripod internally is just really, really strong. And I think we'll feel good about the '26 outlook when we come to talk about it.
Gerard Cassidy: Very good. I don't think you guys touched on this, I apologize if you did, if I missed it. There's a lot of talk about regulatory change on the horizon specifically when it comes to the supplementary leverage ratio, which I think you guys in the past have pointed out to all of us as your binding capital constraint. Assuming there is a relief where they exclude those treasury securities and possibly mortgage-backed securities from the calculation, of the SLR, can you share with us how that would impact the way you manage your balance sheet and the outlook for revenue should that change?
Robin Vince: Sure. Let me split the question into the two pieces. So first, the impact on us. And it can get a little weedy here because there is actually three different leverage ratios. There's an ESLR, which is the Fed's gift to take away. There is an SLR, which is a three-agency rule across the FDIC, the OCC and the Fed. And then there's a Tier 1 leverage ratio, which there's some legal debate about whether or not the Fed has the ability to make changes to that, but it's really in Dodd-Frank. And so that's the one that applies to all banks. We have a little bit of a different treatment on us just given the nature of the businesses that we're in. But we are bound by Tier 1 leverage ratio, and we've said that before. And so SLR can have some change, but maybe not quite as much on us. But now let me take the other part of the question and just sort of respond to what's going on in the space. We've had a point of view for a long time that we actually think that leverage ratio was ill-advised. And it's not really about banks. It kind of came about to some extent out of the financial crisis. It's almost like in a moment of anger towards banks that existed at that point. But the problem is the casualty of the situation is markets because we want banks to be able to flex their size, particularly in cash on their balance sheet and in treasuries on their balance sheet. Remember, the SLR penalizes a one-day cash management bill in terms of the balance sheet. And so it does not help markets when we take out one of the accordion flexes to be able to absorb treasury supply. And we've probably been seeing that as a contributor to treasury spreads being wider over the course of the past week. I don't see this administration or the incoming leaders into the agencies to want to continue to be in this gold plating business, which is what some of these rules have been in the US. I see them in the business wanting to unleash the power of US capital markets and make sure that capital markets are working for the US economy and that banks are fully able to operate to support capital markets and make them run as efficiently as possible.
Gerard Cassidy: Robin, thank you. Very insightful.
Robin Vince: Happy to do it.
Operator: And we'll take a question from Jim Mitchell with Seaport Global Securities.
Jim Mitchell: Hey, good afternoon. I think maybe a broader question on organic growth. I think, Robin, you mentioned earlier that you might have had record new business wins. So is there a way to kind of frame that in terms of percentage terms year-over-year terms? Just trying to think through the progress towards getting that organic growth rate up and where you stand today?
Robin Vince: Yeah. Well, we tried to put one stat in my prepared remarks, but we've got a few that sort of relate to this in terms of the increase. I like as one good indicator, and we talked about this in the last earnings call, the number of clients buying from three or more lines of business, our platforms, of which, as you know, we have many, increased by 40% over the past two years. And so that's actually the biggest driver, which is having those clients who are doing two or three things with us do an extra thing. And in fact, the clients who do more with us, and again, we talked about this back in January, the clients who do more with us tend to understand us better and tend to do even more things with us because they appreciate the breadth of the relationship, they appreciate how our platforms can link together, and we can just be a more efficient ecosystem for them. I'll give you one example. If you do clearing with BNY and you do collateral with BNY, then in treasuries as an example, the ability for us to link up the ecosystem around our LiquidityDirect platform, our collateral management platform, world number one, our US treasury platform, world number one, the world number one in global custody, we can link those things up and those become book entry transfers on our custody ledger. And so that's just a more efficient way to operate. And we see that linkage as we get better operating as one firm, deploying our commercial model, having clients understand how they can see all of those different platforms, they're actually more and more synergy benefits for them. So this is the -- we've said this all along. This is the single biggest avenue of growth for us is to have more of our clients do more of what we do. And then we add to that the innovation. We add to that finding new clients. We add to that the megatrends that we talked about last time. But we are quite optimistic about the amount of runway we have under this heading.
Dermot McDonogh: And look, if you go back and look at a script from two years ago versus a script today in terms of our -- how we talk to the market, we're talking about more things with you, more products, Wove, Archer, our growth in ETFs, quite strong, which we haven't talked about today and also building out our infrastructure and alternatives. And Robin mentioned it in his prepared remarks, like the appointment of Carolyn Weinberg is a really important strategic step for us in terms of innovating around new products.
Jim Mitchell: Yeah, absolutely. So I guess, versus two years ago, is it fair to assume you seem even more confident in driving this improvement in still kind of early days? Is that a fair way to think about it?
Robin Vince: I would say that we've matured in this. We originally -- if you were to analyze our language over time, the theme is very much there. But our conviction around it has grown. And importantly, we've moved it along the maturity curve. Originally, it was connecting the dots. Then it was one BNY mentality. Now it's our commercial model. This is our first full year operating in our new commercial model under the leadership of our Chief Commercial Officer. So we've been maturing the concept, but our vision of this is unchanged, but our conviction in it and the maturity, operationalization, repeatability embedding in this company is growing.
Jim Mitchell: Great. Thank you.
Operator: And our final question will come from Mike Mayo with Wells Fargo Securities.
Mike Mayo: I was just looking for one wrap-up number, just even if it's just what you're conceptually thinking because you're talking about all these revenue growth initiatives, products, platforms, processes and people and you talk about clients involving more than three lines of business, but then you also say there's some caveats because markets -- what markets will do. So I'm just trying -- you can help us out with our earnings models, but not for the next quarter, for the next three to five years. The main question is, what should be the core organic growth rate ahead and what has it been in the past? Thanks.
Dermot McDonogh: So, like, I think that's a conversation for offline, I would say, Mike, when you visit. But I kind of -- when I come in every day, I just -- I care about positive operating leverage consistently through the cycle, which is made up of fees, NII and how we manage the firm as it relates to expenses. As it relates to fees, we make fees of a couple of different components, balances, volume and other. And so I feel a lot more confident today than I did two years ago in our ability to drive innovation, drive execution and to do more with our existing client set and also add new clients to the firm. And that's just a journey we're going to be on, and we're going to execute to a very high standard. And so we kind of feel very good about our ability to do positive operating leverage through the cycle in good times and bad.
Robin Vince: And, Mike, I'll add to that just by saying that, look, if you step back, and I'm sorry, this is a little bit -- I'll give you the one number reminder, and then I'll make a bit more of a philosophical comment. So, look, two-thirds of our 6% fee growth in 2024 was market and currency and a third was organic. And that's good. But -- and that was a step up versus the prior year. But obviously, we're determined to see that grind higher. And so if you take that as our aspiration, then the question is, do we actually have the right inputs? Are we doing the right things that actually make that legitimate and plausible. So, number one, are we actually getting around operationally more with our clients? Are we actually covering them better? Are we actually driving outcomes from them? That's important. Where is our trust and reputation? Do people worry about the firm? No, they're very confident. It's this point about platforms built on a very solid foundation, making our balance sheet high-quality, derisked, excess capital, high amounts of liquidity, that gives them confidence to be able to lean in. And all indications are that, that is what happens when they have that reaction. And then critically, do we actually have the right products? And so this is where the breadth of the firm really matters. We're not a two-trick or three-trick pony. We're a dozen trick pony. We can do everything from investment and wealth to retail wealth, to collateral management, to clearing, to payments, to liquidity ecosystems, et cetera, et cetera. So we have this breadth. And then the question is, can you actually operationalize the joining of these things together? And then do you have innovation? And so we think we're actually attacking the problem through all of those dimensions. And if we do that, we do it consistently and deliberately and relentlessly, then we think we will win. And that's what we're doing.
Mike Mayo: Well, that was comprehensive answer. Thank you very much.
Robin Vince: Thank you, Mike.
Operator: And with that, that does conclude our question-and-answer session for today. I would now like to hand the call back over to Robin with any additional or closing remarks.
Robin Vince: Thank you, operator. and thanks, everyone, for your interest in BNY. Please reach out to Marius and the IR team if you have any follow-up questions. Be well, and good luck out there.
Operator: Thank you. This does conclude today's conference and webcast. A replay of this conference call and webcast will be available on the BNY Investor Relations website at 3 p.m. Eastern Standard Time today. Have a great day.